Operator: Greetings, and welcome to Hibbett, Inc.'s First Quarter Fiscal Year 2023 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. 
 It is now my pleasure to introduce your host, Gavin Bell, Vice President of Investor Relations. Thank you. You may begin. 
Gavin Bell: Thank you, and good morning. Please note that we have prepared a slide deck that we will refer to during our prepared remarks. The slide deck is available on hibbett.com via the Investor Relations link found at the bottom of the home page or at investors.hibbett.com and under the News & Events section. These materials may help you follow along with our discussion this morning. 
 Before we begin, I would like to remind everyone that some of management's comments during this conference call are forward-looking statements. These statements, which reflect the company's current views with respect to future events and financial performance, are made in reliance on the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 and are subject to uncertainties and risks. It should be noted that the company's future results may differ materially from those anticipated and discussed in the forward-looking statements. Some of the factors that could cause or contribute to such differences have been described in the news release issued this morning and are noted on Slide 2 of the earnings presentation and the company's annual report on Form 10-K and in other filings with the Securities and Exchange Commission. We refer you to these sources for more information. 
 Also, to the extent non-GAAP financial measures are discussed on this call, you may find a reconciliation to the most directly comparable GAAP measures on our website. 
 Lastly, I would like to point out that management's remarks during the conference call are based on information and understanding believed accurate as of today's date, May 27, 2022. Because of the time-sensitive nature of this information, it is the policy of Hibbett, Inc. to limit the archived replay of this conference call webcast to a period of 30 days. 
 The participants on this call are Mike Longo, President and Chief Executive Officer; Bob Volke, Senior Vice President and Chief Financial Officer; Jared Briskin, Executive Vice President, Merchandising; Bill Quinn, Senior Vice President of Marketing and Digital; and Ben Knighten, Senior Vice President of Operations. 
 I will now turn the call over to Mike Longo. 
Michael Longo: Good morning, and welcome to the Hibbett City Gear Q1 earnings call. For those of you following along the slides, I'm on the slide, Slide 3 entitled Overview. During the first quarter, our team effectively executed our strategic plan and delivered comparable store sales and financial results in line with our expectations. Furthermore, our strong inventory position at quarter end gives us confidence in our full year guidance which we are reiterating today. 
 In review of the quarter, we delivered diluted earnings per share of $2.89. Comparable sales declined 18.9% versus the prior year, coming on top of an 87% increase in the first quarter of last year. Comparable sales increased 22.9% versus the pre-pandemic Q1 of fiscal '20. We delivered Q1 operating income this quarter of 12%. We are, therefore, reiterating our full year comparable sales and diluted earnings per share guidance. 
 Two key factors, income and inventory, impacted our Q1 performance and our outlook. The lack of stimulus this year versus last year caused the consumer to have less disposable income, and they decreased their spending year-over-year in Q1. The effect of last year's stimulus was mostly limited to Q1, and we believe is now substantially behind us.                        
 Our inventory increased by approximately $94 million during this quarter with a significant portion arriving late in the quarter. As a result, we have improved our inventory levels in a number of high-demand products and are well positioned to achieve our sales targets moving forward. 
 We also remain on plan to open 30 to 40 net new stores in underserved areas with little or no competition. This approach has proven to be a significant competitive advantage for us, and our team remains disciplined in the site selection process. 
 Moving on to Slide 4. We wanted to remind everyone of the sales growth and related financial performance improvement of our business over the past several years. While the last 2 fiscal years have been positively impacted by stimulus and changes to the competitive landscape, we have also steadily improved the underlying business model to take advantage of the opportunities presented to us. As a result, we generated solid quarter-over-quarter compound annual growth rates over the past several years. 
 Importantly, we have structurally rebased our sales and profits at higher levels versus pre-pandemic levels driven by improved execution, investments in the business model, investments in the consumer experience, new customer retention and a stronger inventory position. As stated in this morning's press release, we believe that our best-in-class omnichannel business model, our best-in-class service in the stores and our compelling merchandise assortment creates differentiation in the marketplace, provides us with a competitive advantage in the eyes of the consumer and our vendor partners and puts us in a position to deliver strong sales and profitability results in the coming years. 
 Before turning the call over to Jared, I'd like to take a moment to congratulate our approximately 11,000 team members across our organization, all of whom are committed to providing every consumer, vendor partner and fellow team member with an outstanding experience every day. And I'm very proud of our entire organization in that we've been recognized on Newsweek's list of America's Most Trusted Companies in 2022. The top 400 most trusted companies across 22 industries were chosen based upon an independent survey. They considered 3 main public touch points of trust: the customer, the employee and the investors. We're committed to working tirelessly to continue to earn that trust of all of our stakeholders. 
 I'll now turn the call over to Jared. 
Jared Briskin: Thank you, Mike. Good morning. If you turn to Slide 5, Merchandising. For the first quarter, our overall performance is in line with our expectations across the merchandising category. As Mike mentioned, our Q1 sales came on top of tough comparisons with prior year due to stimulus and continued supply chain disruption, leading to an uneven flow of inventory. Footwear and apparel both declined in the mid-teens compared to the prior year, while team sports and licensed products grew mid-single digits. All of those were in line with our expectations.
 We continue to believe that due to the impacts of COVID and stimulus during the last 2 fiscal years as compared to fiscal 2020, calendar 2019 is the most meaningful comparison. When compared to the first quarter of fiscal 2020, comp sales were up 22% and accelerated throughout the quarter. 
 From a category standpoint, all merchandising categories grew double digits when compared to fiscal '20, except for team sports which declined. Apparel and accessories grew in the low 30s when compared to fiscal '20. Fleece, licensed products, underwear and socks were the primary contributors of growth. Footwear grew in the high teens when compared to fiscal '20 as we were able to get a more favorable inventory position in our key franchises during the latter part of the quarter. Team Sports declined in the low teens when compared to fiscal '20.
 Specific to footwear and apparel, men's, women's and kids were all up double digits when compared to fiscal '20. Women's growth was in the mid-60s, men's grew in the low 20s and kids grew in the low teens. As Mike referenced earlier, we're very pleased that our inventory levels ended Q1 at over $300 million, up $94 million from year-end and therefore, are well positioned to drive results as we move into the second quarter.
 As I referenced in my sales commentary, we also believe there was meaningful comparison regarding inventory is comparing it to fiscal '20. Due to the delays caused by the ongoing supply chain issues, inventory levels to begin the year when compared to fiscal '20 were down in the low 20s. This improved throughout the quarter and when compared to fiscal '20, inventory levels at the end of the quarter were up in the low 20s, in line with our order sales growth when compared to fiscal '20. Sales trends when compared to fiscal '20 improved significantly in the latter part of March and April, and follow the track of our improved inventory position.
 Our results in the first quarter, combined with our strong quarter end inventory position, continue to give us confidence that the strategic shift in our merchandising organization and our toe to head merchandising strategy are working and elevating, having served consumers. I'll now turn the call over to Bob to discuss our financial results. 
Robert Volke: Thanks, Jared, and good morning. Please refer to Slide 6 entitled Q1 FY '23 results. We report our results on a consolidated basis that includes both the Hibbett and City Gear brands. Before I discuss the first quarter fiscal '23 results, I'd like to remind everyone that stimulus funds in the first quarter of fiscal 2022 provided significant boost to sales and growth leverage in a number of expense categories. As expected, the first quarter has the most difficult comparisons in terms of year-over-year performance.
 Total net sales for the first quarter of fiscal 2023 decreased 16.3% to $424.1 million from $506.9 million in the first quarter of fiscal '22. Looking back 3 years to fiscal 2020, the last relevant comparable period prior to the pandemic, current quarter sale of $424.1 million were 23.5% higher than the $343.3 million reported in the first quarter of fiscal '20. Overall comp sales decreased 18.9% versus the prior year first quarter, while comparable sales increased 87.3%. In comparison to the first quarter of fiscal 2020, comp sales increased by 22.9%. Brick-and-mortar comp sales decreased 22% versus the same period the prior year but have increased by 13.6% versus first quarter of fiscal '20.
 E-commerce sales increased 4.1% compared to the first quarter of fiscal '22 and have increased by 116.9% on a 3-year stack. E-commerce sales accounted for 14.6% of net sales during the current quarter compared to 11.7% in the first quarter of fiscal '22 and 8.3% in the first quarter of fiscal '20. 
 Gross margin was 37% of net sales for the first quarter of fiscal '23 compared with 41.4% in the first quarter of last year. This approximate 440 basis point decline was primarily due to the following factors: deleverage of store occupancy costs of approximately 160 basis points, mainly due to the combination of cost increase associated with a higher store count and the large year-over-year sales decline; a decline in product margin of approximately 150 basis points due to product and channel mix; and an increase of approximately 130 basis points in freight and transportation costs, primarily due to fuel surcharges and other accessorial charges.
 Store operating, selling and administrative expenses were 22.5% of net sales compared with 18.1% for the first quarter of last year. This approximate 440 basis point increase, again, is primarily the result of significant year-over-year decline in sales performance, in addition to increased costs of advertising, professional services and general supplies to support a larger store base and increased e-commerce volume. 
 Depreciation and amortization in the first quarter of fiscal '23 increased approximately $2.4 million in comparison to the same period last year, reflecting increased capital investment on organic growth opportunities and infrastructure projects.
 We generated $50.7 million of operating income or 12% of net sales in the first quarter compared to $110 million or 21.7% of net sales in the prior year's first quarter. 
 Diluted earnings per share were $2.89 for this year's fiscal for the first quarter compared to $5 per share during the first quarter of fiscal '22. We did not have any non-GAAP items in either period.
 Turning to the balance sheet. We ended the quarter with $23.2 million in cash and cash equivalents, slightly higher than the $17.1 million balance at the beginning of the quarter, although well below the $270.9 million we had at the end of the first quarter of fiscal '22. We had short-term debt of $20.4 million outstanding on our $125 million credit -- line credit at quarter end, mainly as a result of our inventory build over the past 3 months. 
 Net inventory in this quarter was $314.9 million, a 42.3% increase from the beginning of the quarter and a 72.6% increase from the same period last year.
 Capital expenditures during the quarter were $16 million, consisting primarily of store development, technology and infrastructure projects. Since the end of the first quarter, we opened a net 9 new stores comprised -- net 9 stores comprised of 9 new locations, 1 rebrand and 1 closure. Our total store count stands at 1,105 as of quarter end. 
 In the first quarter, we repurchased just over 491,000 shares under our authorized share repurchase program for a total cost of approximately $22.4 million.
 Before I review our full year fiscal guidance, Bill Quinn will discuss a few consumer insights. 
William Quinn: Thanks, Bob. Good morning, everyone. Entering into Q2, we are continuing to keep a pulse on how our customers are feeling in general. Through recent customer research, our customers are concerned about inflation. They believe that rising inflation will have a general impact on their discretionary retail spending. However, customers have stated a reluctance to reduce spending on specific athletic brands which comprise the majority of our assortment. Looking at the behavior of our customers versus calendar 2019, we are seeing 2 fundamental differences. One, our customer base is growing; and two, the average unit retails increased substantially. We see these 2 factors as structural in nature, keeping our business rebaselined above pre-pandemic levels. 
 Turning to our e-commerce business. Comparable sales increased 4% year-over-year in Q1 and 1,117% versus calendar 2019. E-commerce represented 14.6% of total sales for the quarter. We're very pleased to deliver growth over last year. There were 3 key drivers: one, improved inventory; two, increased traffic to our website and app; and three, improvements to our digital customer experience. Our online business is growing, and we expect to continue to see high single digit to low double-digit growth in the upcoming quarters. To fuel this growth, we are particularly focused on the customer experience. Q2 will be a record quarter with a number of initiatives focused on the digital and omnichannel customer experience.
 Now I'll turn it back over to Bob Volke to discuss our guidance. 
Robert Volke: Slide 8 summarizes and reiterates the fiscal 2023 guidance, consistent with what we've provided on our last call. Total net sales are expected to be relatively flat compared to fiscal '22, while comp sales are projected to be in the negative low single digits for the year. Comp sales are projected to be in the negative low teen range in the first half of the year, followed by high single-digit comp sales in the back half of the year. Our sales forecasts are based upon assumptions that as the year progresses, supply chain constraints continue to ease, timing of inventory receipts becomes more consistent and predictable and our overall inventory position remains strong.
 Net new store growth is estimated in the range of 30 to 40 stores with new units spread relatively evenly throughout the year. Fiscal 2023 gross margin as a percent of sales are anticipated to be in the range of 36.6% (sic) [ 36.7% ] to 36.9%, down from the results of fiscal '22, although above pre-pandemic levels. Retention in chain supply challenges, freight headwinds, a higher mix of e-commerce sales that carry a lower margin and brick-and-mortar sales, inflationary pressures and deleverage on store occupancy will all contribute to this anticipated decline. We continue to believe gross margin results in comparison to fiscal '22 will become more favorable as the year progresses.
 SG&A as a percent of net sales is projected to be in the range of 23.3% to 23.6%, higher than fiscal 2022 levels, although also favorable to pre-pandemic levels. Wage inflation, deleverage of fixed costs driven by relatively flat sales expectations and annualization of back-office infrastructure investments we made in fiscal '22 are drivers of this anticipated SG&A increase. Similar to gross margin, we feel SG&A comps will become less challenging in the back half due to an expectation of an improving inventory position and a more favorable sales environment.
 Operating income is anticipated to be in the low double-digit range as a percent of sales. 
 Diluted EPS is estimated to be in the range of $9.75 to $10.50 using an estimated full year tax rate of 24.5% and an estimated weighted average diluted share count of 13.5 million.
 Capital expenditures are projected in the range of $60 million to $70 million with a focus on new store growth, remodels and additional technology and infrastructure investments. Our capital allocation strategy continues to include the expectation that we will repurchase shares throughout the year and a recurring quarterly dividend.
 That concludes our prepared remarks. Operator, please open the line for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Sam Poser with Williams Trading. 
Samuel Poser: I have a handful here. Number one, you mentioned -- I think, Jared, you mentioned that your business accelerated from March to April. How much of the overall trend -- I mean, when you look at what happened was inventory versus stimulus, and have you seen momentum -- I mean, did you go positive in April? Have you seen -- and what's going on so far in May? And I know you don't like to talk about it, but these are strange times. 
Jared Briskin: Yes. Good morning, Sam. Yes, certainly strange times, indeed. I think what we referenced, first and foremost, the trend that we referenced in the acceleration was compared back to fiscal '20. As I mentioned, on inventory, we began the year in a pretty significant decrease compared to inventory levels from fiscal '20. As we were able to get a significant improvement in our inventory position, we saw that sales trend compared to fiscal '20 accelerate. That acceleration really occurred in the back half of April -- in the back half of March, as they did in April. February was fairly difficult compared back to fiscal '20 due to the lack of inventory at the start of the year. 
Samuel Poser: And compared to last year, can you give us some idea of how things looked? 
Jared Briskin: Yes. Again, Sam, we're not going to comment on our individual period flows by month. Again, I think the best way to really look at the business is compare it back to fiscal '20, and we did see significant acceleration as we ended the quarter. 
Samuel Poser: Okay. And then, Bob, you mentioned that the merch margin got hit by 150 basis points due to mix, but can you sort of give us some idea of maybe what the merch margins look like within e-commerce and within brick and mortar, not percentages, but sort of basis point improvements within how that's balanced? 
Jared Briskin: Yes, Sam. I'll start, and then I'll transition to Bill. First and foremost, we did see that the product margin declined year-over-year. A couple of impacts there. First and foremost, a lower penetration of some high-heat product due to the [ channel visit ] inventory in the early part of the quarter. Certainly, the mix towards a higher e-commerce penetration did have an impact, but I would like to make sure that we recognize that we have rebased the product margin as our product margin was up 350 basis points [indiscernible] 
Samuel Poser: Can I just follow up on that? I mean, I really wanted to understand like your e-commerce -- I know the mix takes it down, but was your e-commerce -- was your store gross margins up, like up year-over-year and your e-commerce margin up year-over-year. But because e-commerce was just a larger percentage of sales or stores were less percentage of sales, it drove the margins down? 
Jared Briskin: Yes. Sam, we were down year-over-year, and a lot of that was the impact of the reduced inventory and some of the lack of the high-heat product early in the first quarter, which is typically what drives Q1 product margin. But again, as I mentioned, we significantly rebased compared to fiscal '20. 
Operator: Our next question comes from the line of Justin Kleber with Robert W. Baird. 
Justin Kleber: Yes. As we look at the -- at your low teens comp guide for the first half of the year, that implies 2Q down around 5% to 10%. If I look historically at your business pre-pandemic, 2Q revenue normally drops sequentially, more than 20% from the first quarter, which obviously implies a much steeper decline in comps than the implied guidance. So I guess my question is why would normal sequential seasonality in your business not hold this quarter? 
Jared Briskin: It's Jared. Certainly, the normal sequential comps are certainly challenged with what we've gone through within the last few years with regard to COVID and stimulus. We're not going to comment specifically on Q2. What I will call out is, first and foremost, Q1 did meet our expectations. As we mentioned, we're very confident in the inventory position, especially related to the sales acceleration that we saw during the quarter compared to fiscal '20 and the reaffirmed [ effects ]. 
Justin Kleber: Okay. Jared, I mean, would you go as far to say 2Q is also shaping up in line with your expectations given you've reiterated the guide? 
Jared Briskin: Justin, I can't comment specifically on Q2, but again, very confident in the trends we saw at the end of Q1 and the inventory position that we exited Q1 with. 
Justin Kleber: Okay. And then maybe just a follow-up, Jared, on the makeup of inventory. Obviously, a lot of focus on inventory across retail given how elevated we're seeing some companies report inventory across just the sector. You're talking about the high heat product, and it sounds like a lot of the inventory build is focused on those products. But are there other pockets where you are heavy on merchandise? And if so, do you pack that away? Or is there markdown risk associated with that? 
Jared Briskin: Yes. So first and foremost, great question. Number one, we're very confident in the inventory position. Obviously, with the build of $94 million from the end of the year to the end of the first quarter, the inventory is extremely fresh. We're very confident in the composition of the inventory, and the vast majority of the inventory growth that we saw from the end of the year to the end of the first quarter is in high-demand footwear, so very confident in our ability to move through that inventory. And again, the supply chain certainly has had injected some chaos with the way you run the business.
 Our team on the merchandising area has done a great job of controlling inventory and controlling where we have any particular challenges, and our merchant support continues to be at an incredible level. So very confident with where we stand at the end of Q1 with regard to inventory. 
Justin Kleber: Okay. Last question, and then I'll pass it on. Just Bill mentioned a record number of initiatives, I guess, within e-com here this quarter. Can you share any specific color on what you guys have on tap on that front? 
William Quinn: This is Bill. So yes, for e-commerce, we're going to make it easier for customers to find products. We're going to reduce purchase friction, payment friction, then we're going to make improvements with fulfillment. I also mentioned omnichannel. And the thing about omnichannel is we believe it's going to evolve well beyond traditional programs like BOPIS and curbside, and that stores and digital are really combining now and learning a little bit. And where we're making investments is at those points of intersection between the 2. And so what I want to get across is that we are taking an opportunity this year to make investments in both e-commerce as well as omnichannel. 
Operator: Our next question comes from the line of Alex Perry with Bank of America. 
Alexander Perry: So I just wanted to ask how much sort of macro factors are factored into the guidance here. So I think the back half of the year, there's sort of assumed material improvement in comps on both an absolute basis and on a 3-year stack. How much of this is just better visibility in terms of the supply that you have coming in versus sort of balancing sort of your thoughts on the overall sort of consumer environment and the pressure from inflation that you're seeing? 
Michael Longo: Sure. Thanks for the question. This is Mike. I'll handle this one. So certainly, the first quarter was always going to be the toughest quarter, and it was always going to be the toughest one to forecast and model. I think we've all lived through that. We've seen it because of the disruptions in various sundry forms, most notably, stimulus.
 So to your specific question, certainly the consumer is concerned about inflation. That's a fact. I don't think anyone would dispute that, but things that are going the other way for the consumer are that wages have increased, along with that inflation. The employment situation has dramatically improved. With regards to a specific situation for us, the competitive set has improved, right? So there's less product available. And then we have all of the things that we've been talking about that we knew were embedded in the guidance, specifically our business model. That's service and selection and the best-in-class omnichannel experience.
 We know that our laser-focus on the consumer experience is paying off and will continue to pay off. We're in the early innings of what we're doing in the stores. We still have plenty of upside online in our digital business. As I said, the competitive situation only improves, and we believe that, that is also in the early innings. Simply because of the supply chain disruptions that occurred over the last several months, we all know that some of the moderate-priced department stores lost distribution of critical product. Well, some of that dribbled in all the way into January, and in some cases, February. So it's taken a while for that inventory to dry out. We believe that, that has begun now.
 And then we had a belief that our inventory position will be improved when we did this guidance, and that belief has turned into a certainty. Our inventory position has improved by $94 million, most of which came in later in Q1. So we believe and we know that, that will set us up well for Q2 and beyond. 
Alexander Perry: That's incredibly helpful. And then I just wanted to ask in terms of the promotional environment and sort of what's factored into the guidance here. Just on the gross margin, it seems like the guidance implies improvement in gross margin in the back half versus last year. What is sort of being factored into the thought there in terms of what you're seeing in terms of freight or promotions or product margins? That would be really helpful. 
Michael Longo: Sure. This is Mike again. I'll kick it off. The -- what drives promotion generally is either -- in a general form is the need to drive traffic or to clear inventory. Well, traffic's not an issue, and our inventory is not an issue. We've got very fresh inventory. As I've said, that $94 million came in late in the quarter, so we know that -- what our inventory looks like. Jared? 
Jared Briskin: I think that's exactly right. Certainly, we've seen the promotional environment improve significantly over historical norms. So what we have not seen thus far is a significant retraction back to a very promotional environment that we've seen historically. The marketplace still seems to be operating at a high level and not very promotional. And as Mike mentioned, we're very confident in our inventory composition, which gives us, again, a lot of confidence with regard to our ability to manage promotions and manage the margin properly as we go throughout the year. 
Operator: Our next question comes from the line of Cristina Fernández with Telsey Advisory Group. 
Cristina Fernandez: I wanted to go back and ask about stimulus. A couple of other retailers have cited continuing to lap the benefit here in the second quarter. It seems like you think it's mostly behind. So maybe can you share some color of how you think that benefited you last year? And why would there not be an impact here in the second quarter? 
Michael Longo: Looking -- this is Mike. Thanks for the question. When you look at the sales curves and the seasonality of those curves on a week-by-week basis, which we obsess over, like all other retailers, it appears that the first 2 weeks of the quarter still had a stimulus effect last year, but we're past that. And we're seeing that our seasonality trends are now back to a much more normal level that look much more like fiscal '20. And so we believe, as a result, that the stimulus impact is substantially behind us now. 
Cristina Fernandez: That's helpful. And then my second question was on the inventory. I mean, on the fourth quarter or first quarter, you were trying to clear through some-ish inventory. Is that now behind? Or is there more to go there? 
Michael Longo: We did have some promotion in Q4. We did have some promotion in Q1. Neither one of those were big drivers with regards to gross margin, again, because the inventory is fresh and new. In Q4, I'd characterize it as we didn't have nearly enough inventory. Q1, we began to build in -- just like everybody else and just like every other retail environment, you're always going to have the 1 or 2 items or 1 or 2 small subcategories that didn't sell through as you expected. So -- but those promotions really weren't material, and we don't expect that to be material going forward. I'll remind you, our aged inventory is still very, very low historically. 
Cristina Fernandez: Helpful. And then my last question, perhaps for Bob. On the SG&A, also thinking about the guidance for the year and what happened in the first quarter, it would imply SG&A leverage over the next 3 quarters combined. So can you share more color of -- I mean, do the -- is it just a function of the year-over-year comparisons? Or are some of the cost pressures you saw in the first quarter kind of abating as the year progresses? 
Robert Volke: Yes. And again, some of this is just pure mathematics, which is, of course, we have a lower sales number, but we've built a slightly more expensive structure, to be very honest, as we've built out our capabilities over the last couple of years. So we obviously knew Q1, again, was going to be the toughest compare, but what we're going to see as we go forward is we're starting to take advantage of some of the investments we made last year. That's going to provide us some benefit as we go forward, combine that with what we think is going to be a fairly positive sales trend over the rest of the year and we start to be able to get better leverage against that.
 If you do remember, we do expect this year to be higher than last year on a full year basis. But again, that gap will close from quarter-to-quarter as we proceed through the year. Again, it's just more of a function of we've got a lot of fixed costs that are hard to comp against. And with the first quarter with a lower sales volume, those will get easier as we move throughout the year. 
Operator: Our next question comes from the line of Jim Chartier with Monness, Crespi, Hardt & Co. 
James Chartier: I just wanted to follow up on kind of the impact of inventory constraints in first quarter. In fourth quarter, I believe you estimated a 5% impact to sales from insufficient inventory. Was the impact in first quarter the same, similar or greater than that? Any color would be great. 
Michael Longo: Yes. So inventory, for sure, did impact us early in the quarter. As the quarter gained -- as inventory came in, we did gain momentum. Jared, do you have some specific commentary on that? 
Jared Briskin: Yes. So the impact that we've referenced in the fourth quarter was specifically due to the launches, big changes as we move out of the fourth quarter. The first quarter inventory impact again with the comparable back to fiscal '20 was a general lack of inventory earlier in the quarter. So we believe that the impact in the early part of the quarter was likely a little bit more significant than what we saw during the fourth quarter. 
James Chartier: And then just in the slides, you noted your women's footwear and apparel, up mid-60s versus 2019. What's driving that? And is that still an opportunity for the business? 
Jared Briskin: Yes. We see women's as a tremendous opportunity for us. We also see kids as a tremendous opportunity for us. We felt that we have underserved that consumer over the last few years, for sure. We've put a lot of time and attention to, first and foremost, understanding how they're interacting with us, building out a plan for investment and ensuring that the product is coming to life from an in-store digital perspective. So we do still see upside there, and we'll continue to make those appropriate investments. 
Operator: Our next question comes from John Lawrence with The Benchmark Company. 
John Lawrence: Mike, do I -- am I missing something? Did I remember -- Jared, you might remember several years ago when you had this high gas prices, was there a phenomenon that may be in those small markets that people didn't drive to the city as much and may have stayed more local and -- to some extent helped the business? 
Michael Longo: Certainly, our consumer is going to be challenged by higher gas prices, higher food prices, higher rents. I think everyone knows that, and so we should acknowledge that. But again, we think that the factors that overcome that are the fact that their wages have gone up and that employment is very strong. 
 So the consumer, at least so far, is in a pretty good place in that I think one of the things to call out here that I think might be worth saying is that branded product has more cash [indiscernible] brands have more equity in them than unbranded, and so we're beginning to see a divergence there in retail for the stronger brands inside a strongly branded retailer are doing pretty well. And we think that all of those factors coming into play are helping us. 
John Lawrence: Great. And last question is I assume you've not seen any change in the demand for that -- those new release products and all that stuff as far as the first quarter is concerned, no change in the customer demand for that. 
Michael Longo: Yes. So the demand on the high heat product which comes in the form of course of the specific launch products that we all talk about because that drives the buzz in the industry, that demand has been very good. And that's, again, the -- all the things we've talked about on the consumer, plus the competitive set, plus the fact that we've got a consumer experience that we're awfully proud of, but that Monday through Friday business is also very strong because of high-heat product that you wouldn't necessarily categorize as launch. So think of some of the franchises out there, the iconic models, those things are selling through very rapidly as well. 
Gavin Bell: Last question from Sam. 
Operator: Our next question is a follow-up question from the line of Sam Poser with Williams Trading. 
Samuel Poser: Okay. I got 3. One, what's the increase in loyalty members versus 2 years ago or 3 years ago or -- and last year? Two, have you done any further buybacks since the end of the quarter? And three, you sort of alluded to it, what are your -- how are your allocations looking on a year-over-year or 2- or 3-year basis of that high-heat/launch product? And are you -- do you foresee yourself building a partnership with a very large brand similar to that, that is done from a sporting goods retailer out of Pittsburgh, Pennsylvania? 
Michael Longo: Thank you. Bill, do you want to lead that off and speak to loyalty? 
William Quinn: Yes, absolutely. So the loyalty program has grown by a couple of millions since last year this time. The other thing that we look at, and Sam, as you know, we invented our loyalty program last year. We added City Gear to that, and we've seen a substantial portion of sales that go through loyalty there. 
 And then the other piece that isn't talked about very often is really the point of both the program is to drive sales, and we're seeing some very good things there. For example, our average loyalty member purchases 16% above the nonmember purchase. So we are seeing the multi-program grow and drive behavior. 
Michael Longo: Bob, do you want to handle the buyback? 
Robert Volke: Yes. So for share repurchases -- sorry, Jared. For share repurchases, we go through periods of open windows and closed windows. Usually towards the end of the quarter, the window is closed. We get a little bit more conservative during those periods of time because we have less control over the day-to-day cash outflow, so activity since the end of the quarter have been pretty [ slow ]. 
Michael Longo: All right. And then I think I wrote this down. There were some questions, Jared, on allocations and partnerships with other brands. 
Jared Briskin: Yes. So I'll answer this question. First and foremost, our partnerships are incredible and are at an all-time high. It didn't significantly reinforced throughout the last few years and our business model that's very well understood and our brand partners see significant value in it. We have -- are very confident in our order book and our ability to serve our consumers, and we'll continue to invest as much as possible in our high-heat products that we knew were driving significant traffic to our chain and to our digital experience. 
Operator: There are no further questions in the queue. I'd like to hand it back over to Mike Longo for closing remarks. 
Michael Longo: Well, thank you very much. We appreciate everyone's participation today. And we're very proud of what we've accomplished, our teammates, their efforts, and we try to recognize that every time. We look forward to getting back together relatively soon and getting you the results for Q2. Thank you, and everyone, be safe this holiday weekend. 
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.